Operator: Greetings and welcome to our CVD Equipment's 2021 Second Quarter Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. We will begin with some prepared remarks followed by a question-and-answer session. Presenting on the call today will be Emmanuel Lakios, President and CEO; and Thomas McNeill, Executive Vice President and Chief Financial Officer. We have posted our earnings press release and call replay information to the Investor Relations section of our website at www.cvdequipment.com. Before I begin, I'd like to remind you that many of the comments made on today's call contain forward-looking statements, including those related to future financial performance, market growth, total available market, demand for our products and general business conditions and outlook. These forward-looking statements are based on certain assumptions, expectations and projections, and are subject to a number of risks and uncertainties described in our press release and in our filings with the SEC including, but not limited to the risk factors section of our 10-K for the year ended December 31, 2020. Actual results may differ materially from those described during this call. In addition, all forward-looking statements are made as of today, and we undertake no obligation to update any forward-looking statements based on new circumstances or revise expectations. Now, I would like to turn the call over to Manny. Manny?
Emmanuel Lakios: Thank you. Welcome to CVD Equipment Corporation's quarterly conference call. My name is Emmanuel Lakios, CEO and President, and I'm pleased to be presenting to you today regarding important company developments and pertinent information related to our business. As we will be providing a subset of information your thoughts are important to us, we request that you wait to ask your questions at the end of the Q&A session. I would like to introduce our CFO, Mr. Thomas McNeill, who will provide you our financial second quarter 2021 summary.
Thomas McNeill: Thank you, Manny. And good afternoon, everyone. CVD second quarter 2021 revenue was $4 million, as compared to $3.7 million in the second quarter of 2020; an increase of $300,000 or 8.5%. Net income for the second quarter was $1.5 million or $0.22 per diluted share, as compared to a net loss of $1.1 million, or $0.17 per diluted share in the second quarter of 2020. With respect to our first half results, as a result of the COVID-19 pandemic, CVD's new quarter bookings substantially decreased commencing in the first quarter of 2020, which we don't reduce revenues in subsequent quarters resulting in revenue of $7.4 million in the first half of 2021 as compared to $9.8 million in the first half of 2020, a decrease of $2.4 million or 24.1%. Net loss for the first half of 2021 was $35,125 or $0.01 per diluted share as compared to net income of $500,000 or $0.08 per diluted share for the first half of 2020. Let me note that during the first quarter of 2020, CVD benefited from the CARES Act which allowed for the carryback of net operating losses and resulted in CVD recognizing an income tax benefit of $1.5 million in the second quarter and first half of 2020. With respect to CVD's second quarter and first half results for 2021, we were positively impacted by this gain on debt extinguishment in the amount of $2.4 million, which was related to our PPP loan received due to the effects of COVID-19 pandemic and subsequently forgiven in June 2021. In our second quarter of 2021, sequential improvement was achieved as CVDs revenue in the second quarter was $4 million, as compared to $3.4 million in the first quarter of 2021, an increase of $600,000. And the operating loss decreased to $1.1 million in the second quarter of 2021 as compared to an operating loss of $1.6 million in the first quarter of 2021, an improvement of $500,000; this is a result of increased revenue and the improvement in product margins. The company's backlog at June 30, 2021 improved by $2 million to $8 million at June 30 as compared to $6 million at March 31, 2021. Since the first quarter of 2020 the company continued to experience significant negative effects from the COVID-19 pandemic, including reductions of new orders. However, the company's order activity has improved in both, the first and second quarters of 2021, and we believe it's longer term improvements will be benefited by the anticipated slow recovery in the aerospace markets, which industry reports indicate will begin to occur in 2022 to 2023 timeframe. With respect to our 555 building sale, as previously announced, we are pleased to have closed on the sale of our facility located at 555 North Research Place in central Islip on July 26, 2021 with a sales price of $24.4 million, we satisfied our mortgage debt of approximately $9.1 million outstanding at June 30 and paid various transaction related costs. The net proceeds of approximately $14 million dramatically improves our current cash position which now exceeds $18 million and provides us with the balance sheet for sustainable growth strategies. Our cash and cash equivalents were $5.4 million at June 30, 2021 as compared to $7.7 million at December 31, 2020. However, as I just mentioned, with the closing of the 555 sale that occurred in July, our cash balance now exceeds $18 million. Working capital was $11.5 million at June 30, 2021, as compared to $8.1 million at December 31, 2020, an increase of $3.4 million or 42%. This is primarily the result of our actions taken to sell the 555 building which we closed in July, and thus resulted in classifying our long-term assets and liabilities related to the sale as short-term at June 30, 2021. In addition, during the first half, we have substantially reduced our CapEx from $862,000 in the first half of 2020 to $118,000 during the first half of 2021. This relating to ceasing further U.S. spend on the Tantaline product line. The longer term impacts from COVID-19 outbreak are highly uncertain, and cannot be predicted, especially now with the recent outbreaks of the COVID-19 Delta variant. Our return to profitability is dependent upon among other things; the receipt of new equipment orders, the lessening of the ongoing effects of COVID-19 and the Delta variant on our business and the aerospace market, and improvement in operational efficiencies as well as managing planned CapEx and operating expenses. Based on all these factors, we believe our cash and cash equivalent positions and our cash flow from operations will be sufficient to meet our working capital and capital expenditure requirements for the next 12 months for the filing of this Form 10-Q. Should the current environment continue longer or worsen, we will continue to assess our operations and take actions anticipated to maintain our operating cash to support the working capital needs. At this point, I'd like to turn the call back over to Manny, our CEO.
Emmanuel Lakios: Tom, thank you for your presentation. As we completed our second quarter and are entering into the second half of 2021, we are pleased to state that we are seeing a modest but nonetheless recovery in demand for our products. We continue to be cautiously optimistic that that COVID pandemic impact to our business and product demand is decreasing. We do see negative effects of COVID on our supply chain with increase in costs and lead time for our materials. Our operating team is working through these issues daily, and we do not expect a major impact to our revenue timing nor our gross margins. Off the last several quarters, we have noted the substantial impact of one of our focused and largest served markets aerospace. We believe based on industry reports that the timing of increased gas turbine engine demand will begin to recover in late 2020 to beginning of 2023. Assuming this materializes, we should start seeing an increased demand for our products and services in 2022. We recently announced that our company orders were approximately $6 million in the second quarter of 2021, the first nano systems business contributed with eight system orders in the first half of the year. Furthermore, we announced that we received a $1.7 million order in July from a production customer. The customer is OneD Battery Sciences based in Palo Alto, California, the system will be used to produce electric vehicle battery materials using OneD's center node manufacturing process. The system is scheduled to be completed in Q1 2022. The order supports our plan and is fully aligned with our strategy to mitigate the company into growth production applications of nanotechnology materials. Disorder order rate indicates a very favorable trend with an increase from Q1 2021, and very much so from the same period of 2020. Our SDC tagline best subscribed businesses also store strong product demand, the sale of the 555 building was completed in July, with the outcome of providing $14 million of additional cash on-hand. The sale of the building provides both short-term working capital, as well as for future growth opportunities. In summary, even with these positive indicators, the year is far from over and we expect to face many challenges. However, our focus remains consistent on our customers, employees and shareholders, and the pursuit of growth and return to profitability. Your comments and questions are important to us. With the close of our presentation, we would like to open the floor to your questions. Operator?
Operator: Thank you. Ladies and gentlemen, at this time we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Brett Reiss from Janney Montgomery Scott. Please proceed with your question.
Brett Reiss: Thank you, operator. Hi, Manny. Hi, Tom.
Emmanuel Lakios: Hello, Brett.
Thomas McNeill: Hello, Brett.
Brett Reiss: The ID systems order that you just booked; do you have any idea what the total addressable market for that kind of niche product might be domestically and abroad?
Emmanuel Lakios: That's actually an excellent question, Brett. That's an area where we're trying to and the marketing team is working on quantifying the size of the marketplace. It's an emerging market, both for us and in the field. It's a bit early to be able to give you that information, we hope to have more so during our strategic planning in the third and fourth quarter of this year; so we'll give you an update as we have more information.
Brett Reiss: Okay. Now in this market, do you have other company competitors or is your competitor, your customer themselves that might decide to do what you just did in-house?
Emmanuel Lakios: We provide first as far as in-house customer competitors building their own equipment. Many of them already do build their own equipment and they turn to us for production level equipment and scale up; that's where we provide value both from areas of safety, throughput, and also being able to produce the systems in a more timely manner than they ever could. So, we see our customers not as our competitors. We are not producing the material, we produce the equipment; many of them come to us with their own process, we respect their proprietary nature of that process. As far as other competitors in the field, again, CVD has a very unique presence in that we, for 37 years have provided applications specific custom equipment. And at this point in time, most of the battery material customers that we would serve have a different process. Many of those are based on both, carbon and other nanowire type materials, where we have a library of processes; so we have quite a bit of experience. I think we are very well positioned in this space against both, equipment companies and add enough value to the customer base for us to be able to garnish additional orders.
Brett Reiss: Okay, I appreciate that. Now CVD material did $1.07 million [ph] in the first six months, if you annualize it, you know that's $3.4 million, which is twice what that segment did in 2018, twice what it did in 2019, and 1.5 times of what you did in 2020. These two businesses finally, you know, Tantaline and MesoScribe, finally gaining momentum and traction, so that these kind of revenue numbers are sustainable looking forward?
Thomas McNeill: So, let me -- let me just speak to that. Thank you for that. Again, the numbers are -- they are smaller in size. And you know, the materials portion of the business, the Tantaline and MesoScribe, typically, they account for anywhere from 10% to 20%. of total revenue in a depressed [ph] equipment market. The demand side for Tantaline is stronger than it was in the past. But again, we are properly sized to account for that, we -- on the MesoScribe, we issued a few press releases that we had closed two contracts that are multi-year contracts. And that also supports the revenue from those contracts. So, to answer your question, it's technically a yes, but they still are smaller pieces of our business relative to the equipment.
Brett Reiss: I know you don't give quarterly guidance but looking out into the future, three years from now, where do you think the Tantaline and MesoScribe or CVD materials -- where would you like to see the annualized revenue run rate of those two businesses? You know, that -- that are under the CVD umbrella?
Thomas McNeill: Yes. It would be -- Brett, it would be irresponsible, I think for me to really comment too much on that, where I would like to see them and where we would cautiously project them to be -- would be two different matters. You know, I hope over the next couple of quarters to be able to present more information on some of the smaller businesses and where we think the served markets are growing, and where we think that the future could hold for us. At this time, I'm not prepared to do that on this call.
Brett Reiss: Okay. One last one, and I'll drop back in queue. Just -- if you could just update us on the oxygenated cartridge that you're developing with Stony Brook; any updates on that?
Emmanuel Lakios: Okay. Well just to provide a bit of technical alteration to the question posed, we're not developing it in collaboration or in with Stony Brook. We are using Stony Brook as a testing facility for certain aspects of the device. There we are working with potential partners to help us further pioneer this. It is not in the top three activities of the company may I say, and we don't have really any substantive [ph] information to provide on this particular call.
Brett Reiss: Okay, I will drop back. Thank you for taking my questions.
Emmanuel Lakios: Thanks, Brett.
Operator: Our next question comes from the line of Robert Sussman with Bentley Capital. Please read your question.
Robert Sussman: Thank you. Can you give us an idea as -- this first order for the batteries for EV; these -- are you talking to or have you seen interest from any other EV battery manufacturers? Are you seeing interest and is the interest just domestic or international as well where most of these batteries are made?
Emmanuel Lakios: First, there is a driver for bringing it home to the United States; I think we're all aware of that. Also, it is a global market. We are seeing interest in our carbon and our nanotechnology materials segment. Specifically, for energy storage, electric vehicles being the largest opportunity. There are competing technologies and techniques for some of this material. The order that we did receive is for one very clever technology that's been pioneered, again, I -- you know, I stated earlier it was with OneD Battery Sciences, and I welcome you to visit their website. And that is one technique. There are other techniques that we're also exploring with other battery or energy storage manufacturers. So to answer your question, it's global. We are having conversations with multiples and we're pleased that we were selected by OneD for their production requirements.
Robert Sussman: Is there something unique about OneD, there obviously is that makes your equipment optimal where it would be just another piece of equipment for other technologies different than OneD systems?
Emmanuel Lakios: I would be trespassing on our non-disclosure and confidentiality agreements with our with our customer if I was to elaborate any further on that. But again, we were selected and we're very pleased of that.
Robert Sussman: Okay. One last one on that, you may not want to answer. Would this satisfy OneD for at least the next 12 months One system? Or is this the beginning of a larger order that could take place over the next 12 months?
Emmanuel Lakios: Well, I think you're right, I really can't answer that; cannot. But I obviously you know, I have my own hopes and desires.
Robert Sussman: Okay, thank you.
Emmanuel Lakios: Thank you, Rob.
Operator: There are no other questions in the queue. I'd like to hand the call back to management for closing remarks.
Emmanuel Lakios: We appreciate everyone's attendance. We hope all and everyone stays safe in these -- again, difficult times. And we look forward to communicating with you in the near and mid-term. Thank you very much.
Operator: Ladies and gentlemen, this does conclude today's teleconference. Thank you for your participation. You may disconnect your lines at this time, and have a wonderful day.